Operator: Good morning, everyone. And welcome to Potbelly Corporation's Fourth Quarter and Full-Year 2021 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder this conference is being recorded.  I would now like to turn the call over to Ms. Adiya Dixon, Potbelly's Chief Legal Officer. Please go ahead. 
Adiya Dixon: Good morning, everyone. And welcome to our fourth quarter and full-year 2021 earnings call. Our presenters today are Bob Wright, our President and Chief Executive Officer, and Steve Cirulis, our Senior Vice President and Chief Financial Officer.  Please note that we have prepared a set of PowerPoint slides that will accompany our prepared remarks. You may access these slides on the Investor Relations section of our website. After our prepared remarks, we'll open the call for your questions.  I'd like to call your attention to our cautionary statements on slide 2, and note that certain comments made in this call will contain forward-looking statements regarding future events or the future financial performance of the company. Any such statements, including our outlook and targets for 2022, or any other future periods should be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are not guarantees of future performance nor [Technical Difficulty]. Forward-looking statements involve significant risks and uncertainties and events or results could differ materially from those presented due to a number of risks and uncertainties. Additional detailed information concerning these risks regarding our business and the factors that could cause actual results to differ materially from the forward-looking statements and other information that will be given today can be found in our Form 10-K, which will be filed later today, under the heading Risk Factors, and Management's Discussion and Analysis of Financial Condition and Results of Operations, and in our subsequent filings with the Securities and Exchange Commission, which are available at sec.gov.  During the call, there will also be a discussion of financial metrics that do not conform to US Generally Accepted Accounting Principles, or GAAP. Definitions and reconciliations of these non-GAAP measures to their most directly comparable GAAP measures are included in the appendix to the investor presentation and press release issued after the market closed yesterday, both of which are available in the Investors tab of our website.  I'll now turn the call over to Bob.
Robert Wright: Thank you, Adiya. Good morning, everyone. And thank you for joining us today. I hope you and your families have remained safe and healthy since our last update. I'd like to begin today's call by thanking our Potbelly family for their continued dedication to our brand and their strong work ethic throughout 2021 and to date in 2022. It remains our top priority to ensure our guests enjoy safe and fun dining experience in our shops and your loyalty makes that possible. 2021 exceeded our expectations on a number of levels including the most recent quarter, and we're very excited about the future for our brand and company.  Before we get into the future, let's first review the highlights from the fourth quarter and full-year 2021. Beginning on slide 3, starting with the top line, fourth quarter revenues totaled $102.8 million, an increase of 37% compared to the same period in 2020 with same store sales increasing by roughly 34% as compared to Q4 of 2020. For fiscal 2021, revenues of $380 million were up 30% compared to 2020, with same store sales up over 30%.  Our top line strength was driven by positive demand coming off the pandemic-impacted 2020 as well as execution against our five pillar strategy that included numerous initiatives to drive traffic, both in our shops and via digital channels. While we still incurred a net loss, it was significantly better than a year ago, both for the quarter and the year.  We reported positive adjusted EBITDA for the third consecutive quarter as well as positive shop level profitability in each of the four quarters last year. Also, fiscal 2021 shop level margins expanded by 990 basis points compared to 2020. Despite macroeconomic challenges related to labor and ongoing uncertainty regarding COVID, in addition to the inflationary headwinds, our business has once again proven its resilience and ability to deliver growth and improved performance.  In fact, quarter-over-quarter, we expanded shop level margins by 140 basis points to 11.2% for the quarter. The recent margin momentum is extremely encouraging for us as we look forward to our next phase of growth, which I will detail later in our call today.  Our shop portfolio continues its path to recovery, accelerating its pace in the fourth quarter, demonstrated by the increase in same-store sales. This was driven by robust demand levels combined with the successful implementation of our strategy. We achieved an annualized AUV of $1.05 million in the fourth quarter, our second sequential quarter achieving this level.  I'm also pleased to report that we experienced improvement across all our shop types versus the fourth quarter of 2020, with notable increases in airport, CBD and university locations, which had previously been lagging in their recovery, a particularly encouraging sign as we look to build further momentum.  Additionally, we saw improved volumes across each of our shop channels, which was once again led by in-shop sales and supported by continued strength in digital channels. Digital accounted for approximately 36% of our total sales for the full year. In dollar terms, digital sales grew by approximately 11% year-over-year. The durability of Potbelly's digital channel is clear and we expect further success and growth in this important service mode in the future.  Turning to slide 4, I'd like to highlight a few significant achievements in 2021 from a strategic perspective. We had a very busy and purposeful year, which included rolling out the new menu, increased digital marketing success, improvements to our tech stack, and completing the build out of our senior leadership team.  Beginning with our newly updated menu, we are incredibly pleased with the positive response we received from our customers. The new menu has both enhanced value for our guests as well as improved traffic and average check size.  We also saw tremendous benefit from our improved tech stack as the revamp of our digital channels has delivered meaningful improvement to the customer experience, making for a much more streamlined and user-friendly ordering system.  With the appointment of our CMO, David Daniels, we have sharpened our focus on investments in digital marketing to strengthen our presence with a balance of awareness, traffic and sales to accelerate our current growth, while at the same time nurturing our relationships with Perks Rewards customers and advancing our customer acquisition program.  As always, we were continuously looking at ways to improve Potbelly's already iconic and highly relatable brands to better reach our target audience and achieve higher engagement levels with our already loyal customer base.  Lastly, I'd like to congratulate the Potbelly team for their efforts in combating the broader macro headwinds of 2021, some of which we're still facing today. Throughout 2021, the labor market was extremely tight. This is true of the market broadly and more notably within our industry. In fact, it's probably the tightest I've seen in my over 30-year history in the industry.  As a result, we implemented multiple programs to attract and retain employees, such as competitive wages, referral bonuses, retention bonuses, and programs to promote upward career potential, which had been an integral part of our success this year. G&A discipline remains a key focus for Potbelly, in addition to multiple actions across cost and operational efficiencies to offset food and other cost pressures in the wake of this high inflationary environment.  We're extremely proud of our accomplishments in 2021, and we're ready for the next phase of opportunity and growth. With that introduction, I'll now turn the call over to Steve to provide more details on the fourth quarter and full-year financials, recent sales trends, and a quick preview of our expectations for 2022. Steve?
Steven Cirulis : Thanks, Bob. And good morning, everyone. Please turn to slide 5 of the presentation where we will discuss the progression of weekly average unit volume, or AUV, and same-store sales for 2021.  Looking back on trends in AUVs over the last few years, on the left, you can see that, in 2021, we eclipsed 2019's levels, approaching $19,000 per shop for the full year. What is more meaningful is the trend over the last two quarters of 2021 where we achieved AUVs of over $20,000 per shop, again, due to recovery in the overall demand environment and our Potbelly-specific action.  Company-operated same-store sales continued its trend of significant improvement compared to 2020, with fourth quarter same-store sales increasing by 33.8% oy with a healthy blend of check and traffic growth.  Turning to slide 6. I'll walk you through key areas of our income statement and other financial performance metrics for Q4. During the fourth quarter, total revenues of $102.8 million increased 37% compared to the prior-year period, driven by sustained recovery in strong demand in what is usually a seasonally weaker period due to winter holidays. I'm pleased to report that we delivered our third consecutive quarter of positive adjusted EBITDA in the fourth quarter at $2.6 million, up significantly compared to adjusted EBITDA loss of $6.9 million in the year-ago period. Although not shown on this slide, I think it's important to note that, on a sequential basis, adjusted EBITDA was largely flat compared to the third quarter, despite the significant wage and inflationary pressures that Bob already mentioned.  On a shop level basis, fourth quarter margins increased to 11.2% compared to negative 0.6% in Q4 last year and 9.8% in our most recent third quarter.  Our general and administrative, G&A, expenses were $9.0 million in the fourth quarter of 2021 or 8.8% of total revenue compared to $6.7 million or 8.9% in the year-ago period. The slight percentage decrease was driven by higher sales volume and our continued spending discipline. G&A expense on a dollar basis increased due to higher bonus accrual and stock comp.  Food, beverage and packaging costs, F&P, which we previously referred to as cost of goods sold or COGS were $29.0 million or 28.4% of shop sales compared to $21.2 million or 28.5% in the fourth quarter of 2020. The increase in F&P on an absolute basis was largely due to higher volumes, but also included higher input costs, primarily proteins and packaging. On a percentage basis, our ongoing efforts to offset cost pressures allowed for a slight reduction year-over-year.  Labor and related expenses were $33.4 million or 32.8% of shop sales compared to $27.2 million or 36.5% of shop sales in the year-ago period. The year-over-year increase on an absolute dollar basis was driven by an increase in staffing to service higher volumes as well as labor inflation, which saw our average hourly wage increase 11.1% in the quarter and 7.3% for fiscal 2021.  As we said last quarter, Potbelly is taking aggressive measures to recruit and retain associates and managers, including referral bonus programs, pay band modifications, the introduction of tipping and investing in our applicant tracking system. We are trending better than the industry, but the environment remains fluid. As we continue to combat this challenging market dynamic, we remain extremely proactive in our recruiting and staff retention efforts. Labor and related expenses on a percentage basis declined substantially, largely due to top line leverage.  Other operating expenses were $14.9 million or 14.6% of shop sales compared to $13.2 million or 17.7% of shop sales in the fourth quarter of 2020. The increase on an absolute basis is due to increased third-party delivery fees and other expenses that move proportional to volume. The decline on a percentage basis was driven by top line growth and some favorability on repairs and maintenance.  Turning to our balance sheet. We ended the quarter with total liquidity of $28.8 million, including $14.4 million of cash on hand and $14.4 million available on our credit facility. Net cash increased by $0.5 million on a sequential basis, primarily due to increased sales leverage and expense discipline.  During the fourth quarter, the company paid approximately $3.3 million of 2020 deferred cash expenses. Our deferred severance and rent repayments are substantially complete. We'll have one more $2.3 million deferred payroll tax payment in Q4 of 2022.  Turning to slide 7. For the full-year 2021, our total revenues of $380.1 million represent an increase of 30.5% compared to 2020, driven by the sustained recovery versus 2020, which was highly impacted by COVID as well as successful execution against our five pillar strategy.  Same-store sales increased 30.3% for the year and we delivered positive adjusted EBITDA for the year of $522,000, an improvement of over $33 million versus last year.  In terms of the drivers of our annual cost comparisons to 2020, the drivers are generally the same as I just noted for the Q4 comparisons. We attained solid leverage on a percentage of sales basis, with higher volumes we drove in 2021. G&A was $33.3 million for the year or 8.8% versus $34.0 million or 11.7% in 2020. The decrease on an absolute basis was due to realizing a full year of our restructuring work completed in 2020. Food, beverage and packaging costs for 2021 were $105.0 million or 27.8% of shop sales versus $82.2 million or 8% of shop sales versus $82.2 million, or 28.4% in 2020. The increase in dollar terms was due to significant year-over-year cost inflation of 10.2%, most acutely in proteins and packaging that accelerated in the back half of the year.  Labor and related costs for the year were $127.1 million or 33.7% of shop sales versus $105.2 million or 36.4% in 2020. The cost of labor increased on an absolute basis due to the aforementioned labor market headwinds.  Other operating expenses were $59.3 million or 15.7% of shop sales compared to $49.1 million or 17.0% of shop sales in 2020. The increase in other expenses was due to increased third-party delivery fees and other variable costs that remain high due to COVID, similar to the drivers in Q4.  We continue to see the ongoing benefits to our occupancy costs as a percent of sales from our lease optimization work completed in the latter half of 2020 and early 2021. Occupancy as a percent of sales improved 540 basis points in 2021 versus 2020.  Turning to slide 8. We continued to see continued recovery across each of our shop types compared to the year-ago period. Clearly, the biggest increase was in the second quarter as Q2 of 2020 experienced the most dramatic impact from COVID-related shutdowns. You can also see that all shop types enjoyed solid same-store sales increases for the year. We are pleased to report continued strong improvement in our university, airport and CBD locations.  Slide 9 provides a closer look at our CBD locations, which have been disproportionately impacted by COVID due to fluctuations in work from home and back to office situations as we navigate the pandemic. Most recently, the effects of the Delta and Omicron variants.  Here we show same-store sales for the past five quarters. During the peak of the Delta variant, from August to October, our CBD locations were taken off their same-store sales recovery pace, followed by a rebound in November and December. Omicron and severe weather in January delivered another brief setback during the month. Fortunately, the impact was short lived. Since February, we have seen momentum in our CBD locations building toward levels we enjoyed in the fourth quarter of 2021.  As vaccine and mask mandates are lifted across the US and more businesses return to their offices, we expect to see same-store sales continue their upward trend as this important part of our portfolio continues to strengthen.  Slide 10 illustrates how our AUVs and service mode mix evolved through 2021. In the third quarter, we saw strong increase in in-shop sales due to pent-up demand from customers who returned two dining rooms and that continued into Q4. AUVs reached over $20,000 in Q3 and we are pleased to have sustained this demand momentum in the fourth quarter as you can see on the chart.  Additionally, we expanded digital sales by 3 percentage points in the fourth quarter, driven by positive customer response to the new tech stack, which has a more seamless online ordering process and benefits of the improved Perks loyalty program. The durability of our digital channel is clear, and we expect continued strong contribution from the service mode even as customers continue to return to in-shop dining.  2021 also saw a promising build in our catering business as customers increasingly found our platform compelling for both corporate and social catering occasions.  Before I turn the call back to Bob, I'd like to turn to slide 11 where we discuss our priorities for 2022 and our first quarter and full-year outlook. As we look to our next phase of growth, 2022 is a critical year and our priorities are quite simple.  One, we are executing on multiple elements of our five pillar strategy to accelerate growth. These efforts remain focused on delivering traffic-driven profitability as we build demand, expand margins and catalyze franchise unit growth.  Two, we will continue to exercise cost discipline while, at the same time, making selective investments in G&A for our key growth enablers, including marketing, development and operations.  Three, we are committed to further strengthening our digital marketing presence, including driving improved ecommerce results, leveraging the capabilities of our new tech stack, driving new guest acquisition and loyalty through our purchase loyalty program and enhancing our brand positioning to extend our differentiation in the category and further deepen our relationships with customers.  Four, finally, we are initiating our long-term growth plan, which Bob will cover shortly. Turning to our full-year 2022 and first quarter outlook. Although there is uncertainty related to COVID and ongoing inflationary pressures, our outlook for 2022 is positive as we carry the momentum of the fourth quarter forward.  For the full year, we expect to deliver record AUVs, our targeting double-digit growth in same-store sales, and we expect to deliver shop level margins in the low double-digit range.  Recognizing the first month of the quarter was negatively impacted by the effects of Omicron and severe weather in our core markets, we are very encouraged with recent recovery due to the momentum we experienced in the last quarter of 2021. Putting this all together, we expect Q1 sales of $95 million to $98 million, and shop level margins of between 3.5% and 5.5%.  Expanding on our first quarter expectations and turning to slide 12, I would like to briefly touch on weekly AUVs so far this year. As we previously noted, January saw the biggest impact from the Omicron variant and severe weather. We believe our upward trajectory, reestablished in February, will continue throughout the year, barring any unforeseen COVID or other impacts.  While the March figure is only based off the first week of the month, we are optimistic that this is a positive indicator for the remainder of the quarter.  With that, I'll now turn the call back to Bob to discuss our longer-term growth objectives. Bob?
Robert Wright : Thank you, Steve. Turning to slide 13. I'm excited to speak to our three-year growth plan targets. But first, I would like to remind everyone of our five pillar strategy which laid the foundation for a turnaround and will continue to be key for our next phase of growth.  Over the past year-and-a-half, we've tirelessly executed against this strategy. We rounded out our management team with industry leaders in their respective fields, launched our new simplified menu on a national basis, launched a new tech stack and improved our Perks loyalty program. We've also taken a new, more focused approach to digital marketing and branding.  As we enhance our strategic vision and develop our recipe for growth, we are now ready to activate additional growth and profitability levers that are core components of our five pillar strategy.  But before we get into specifics on slide 14, I think it's important to remind everyone of Potbelly's unique and highly differentiated brand, which is driven by our unique combination of great food, awesome people and a fun environment. It's because of our unique brand position that we believe potbelly is primed for expansion across the US.  We're excited to share the details of our next phase of growth with our three year growth plan. This plan has two key components. Number one, expanding our volume and profitability targets for our shops. And number two, accelerating our growth through franchising.  For clarity, the targets we're referring to on this page generally refer to the run rates we expect to achieve by the end of 2024. Starting with our growth and profitability targets for 2024, we are targeting AUVs of $1.3 million, with the expectation that we will deliver volume growth across all shop types. This will be driven by continued recovery across our full shop portfolio, particularly within our CBD, airport and university locations, which still have plenty of runway for continued and sustained recovery.  Technology plays a significant role in our sales growth expectations. We'll capitalize on the durability and incrementality of our digital business, which, as previously mentioned, accounted for 36% of our sales in 2021. Additionally, we plan to expand in-shop technology enhancements and operating systems to drive efficiency and throughput, while improving the customer experience. We'll increase marketing and high return advertising investments with the aim of enhanced customer acquisition. We plan to increase our engagement with our Perks loyalty members, further driving brand loyalty and shop traffic. And we expect to meaningfully grow our catering business.  Additionally, we expect to bring food and beverage innovation to leverage our customers' love of our core menu, including some traffic driving, limited time offers or LTOs, along with ongoing enhancements across all menu categories, including sandwiches, salads, soups and desserts. Second, we're targeting shop level margins of greater than 16%, which will be achieved through a combination of actions. Sales leverage will be a significant driver of expanding margins, especially when considering the recent negative impact of portions of our portfolio on overall shop margin.  We'll continue to evolve our tech stack, marketing initiatives and value-enhancing menu where we expect substantial margin benefit. Additionally, we'll continue to strengthen and effectively manage our supply chain and food costs as we navigate this current environment and look towards the future. Our key supply chain and food cost efficiency actions will ensure the best quality and value for our customers.  Potbelly offers a strong and differentiated employment experience that attracts top talent and we believe top talent is the secret to a great customer experience as much as it is profitability.  We'll continue to leverage our shop level labor investments where it matters most to our customers experiences, while creating efficiencies elsewhere in shop labor. And while it doesn't directly impact shop margins, I want to reiterate we will continue to approach our G&A expenses with the same rigorous discipline that we did in 2020 and 2021.  Finally, the key to our growth is our new franchise growth acceleration initiative, where we are targeting at least 10% annual unit growth rate by 2024, with accelerated growth rates in the years beyond.  The objectives of our franchise growth acceleration initiative include, one, better leverage of company capital and resources by focusing exclusively on franchise unit growth; two, leveraging Potbelly's competitive advantages and brand strength, AUV, shop margin and attractive operating model; three, accelerated market penetration with experienced multi-unit franchisees; and four, catalyzing development deals by refranchising select shops and markets. Our SDA initiative has already begun. And we've now established shop development areas, or SDAs, for all of our existing markets. These SDAs specifically outline shop development potential and are critical to today's refranchising announcement. We will refranchise approximately 25% of our company operated shops over the next three years to spur growth, exclusively in deals that include SDA agreements for new development as well. Additionally, we will be evaluating all existing development agreements, which may have been impacted by COVID-19 and ensure our current developing franchisees are well positioned for success.  In addition to expanding in our existing markets, we see great potential for new market entry as well. We've concluded significant market research and we'll also be developing SDAs for entry in identified new markets, with a high propensity for market penetration as we expand with our new franchisees.  The combination of the SDA agreements, coupled with refranchising, form the basis for multi-unit development deals with franchisees poised to grow with a brand as strong as Potbelly. The partnership between a powerful brand like Potbelly and the right franchisees is the key to success. We know we have the brand, and our team has the experience to select, welcome and support franchisees that will help us grow to be strong and successful together.  This is an extremely exciting time for Potbelly's growth. And we're thrilled to be opening the entire United States to our new sales team effective immediately to support this initiative. We see our long-term US potential to reach 2,000 total units and at least an 85% franchise system. This is an aggressive goal, but we believe it's within our reach and would estimate it will take roughly 8 to 10 years. We look forward to providing additional updates around these targets and our progress in upcoming quarters and years.  With that, I will now turn the call back over to the operator, so we can address your questions. Operator?
Operator: [Operator Instructions]. Our first question comes from the line of Sharon Zackfia with William Blair.
Sharon Zackfia: I have a few questions. I guess on the $1.3 million AUV target, I don't think Potbelly has had that high of AUV since it's been a public company at least. And, Bob, you listed off a lot of different initiatives to get there. I guess could you kind of maybe rank order for us the top three priorities to get to that kind of AUV? And within the kind of unpacking that, can you talk about how greater market penetration as you do this refranchising might help that acceleration?
Robert Wright: You're right. Historically, the brand has hovered around or slightly eclipsed about $1 million AUVs. And as you know, we're finishing the year in 2021, on pace to beat those historical highs, still with significant drag of some of our shop types that are still underperforming coming out of COVID.  So, it really is a combination of those things. One is the recovery in the rest of our shop types help drive the overall AUV and we expect to see a lot of that here yet this year. And you heard me talk about the incrementality of the digital business. At 36% of our business, we certainly believe as durable as that is and has been, the pandemic had the impact of accelerating the amount of digital business we were able to capture. And we think that that is going to be a significant part of that overall AUV [Technical Difficulty] using our new digital marketing campaigns, the advertising campaigns that we have. As we've shared, we've been very disciplined about the return on those invested dollars, and continue to prove with any incremental investment that we can deliver outsize top line growth to more than offset the investment that we might put into marketing. So, those are the biggest ones.  But your point about penetration is critical. Look, any brand thrives as it grows. And in the markets where we have presence, but underpenetrated presence, we think that the refranchising work as well as the development work is going to be a significant part of that top line growth. So those are the big buckets.  You can always look at our strategy. And I certainly don't mean to be just referring to that as an easy answer. But the fact is, this business is built on taking care of our customers, delivering great food at great value and operating our shops at a level that can drive that throughput and drive that efficiency. We think we've got all of that potential to leverage those key items and really grow that top line to $1.3 million and keep going from there past 2024.
Steven Cirulis: Sorry, I just want to add to Bob's comment really quickly. What further gives us confidence in that long-term goal of $1.3 million AUV? We've already seen almost a quarter of our shops hit that level of AUV, even in this kind of challenging environment. So, in addition to all the strategic elements that we have kind of lined up to kind of push the entire system, having a large group of shops that are already there, it gives us that kind of further foundation for pushing it along. 
Sharon Zackfia: Steve, that's actually a good segue because with the CBD units still lagging, I believe, how much of that kind of gap to $1.3 million can you get just from CBD kind of reattaining historical levels?
Steven Cirulis: We certainly get a lot of it from leverage. And what accelerates that leverages is some of that CBD recovery. Look, we thought long and hard about how this how this plays out. And we had a year of fairly measured recovery in those shops. And so, what we're not betting on is that those shops recover at a pace that is uncommonly fast. We expect to see that kind of work through this year and in the next year. And so, by the time we get through kind of 2024, we will have seen CBDs have come back to a level that accelerates that $1.3 million. And it certainly helps us as we move through the quarter coming up and the rest of the year. So, it's a big part of that recovery, but it's not dependent on that recovery.
Sharon Zackfia: If you can help us in the near term as well on what your projections are for food and labor inflation for 2022 and how much of your commodity basket you've lost?  And then, I think you also took a pretty meaningful price increase, at least in Chicago recently, on top of a price increase you took in December. If you could unpack for us kind of where your price benefit is running right now versus the fourth quarter and how the consumer has responded to the price increases?
Steven Cirulis: I can start with kind of our looking at the inflation side of it. So, look, COGS inflation really started to accelerate on us in the back half of the year. And we finished the year with almost 4% inflation on, what we're calling now, F&P. And 7.4% was our rate for Q4. We expect that to be a big part of what happens here in the first quarter, with rates that are even a little bit higher, I should say, than that Q4 run rate on the F&P inflation. And then, when you add to that the wage inflation, which similarly pushed really high in the back half of last year and we finished Q4 with over 11% kind of labor inflation and 7.3% for the full year, and as we look into Q1, it's going to be kind of a similar story before we start to see that pace kind of pullback. And we certainly did take price to help mitigate some of that overall inflation. We took a pricing action, I think it was p11 of last year. We took a little bit in January of this year on the digital side, and then we had a price increase here just in in P2 that helps us offset a big portion of those inflationary pressures.  We have some potential pricing actions for later in the year. But we look at those as discretionary as we're very careful that we want to make sure that we'll still continue to have that right kind of a value equation for the customer. And it gives us some of the optionality as it relates to how we see commodities and labor move as we go forward.
Sharon Zackfia: Any customer impact – I mean, it doesn't look like it from your trends so far in February and March, but how has the customer responded to the price?
Steven Cirulis: So far, the customer is still coming to our shops in numbers that we're excited about. I think it's a little choppy with P1 as you've seen weather and Omicron. So, you're trying to sort of sus out how much of your traffic dynamic is related to those elements plus price. As we as we move price, we often test pretty hard in front of it, so that we can understand if there's any change in the way that customers might receive it. But so far, I think we've seen a lot of consistency with what we've expected in terms of customer reaction and as they come to us in terms of our traffic numbers. And qualitatively, we do customer surveys and those kinds of things. We haven't had any negative feedback, or I should say, very little negative feedback on these pricing actions because I think customers – inflation is all around them. It's impacting everyone. So, it's something I think that they're just kind of managing through.
Sharon Zackfia: Last question for me. On the 2,000 unit goal, can you help us think about the composition of those units? Are we going to see a much greater percentage of drive-through, suburban, just help us think about what that 2,000 unit pie looks like in terms of the type of shops versus what you have today? And then also, just on the proceeds from refranchising, what, what are you you're marking that for?
Robert Wright: I think you nailed it. Look, the brand just continues to thrive in all of our shop types, but for the pandemic-impacted CBD locations. But as you look at where our whitespace is, we've done the market holding capacity for the entire United States in preparation for this announcement. And we looked at all 210 of those designated television markets across the US. And we see that holding capacity as really the determinant behind our confidence in the 2,000 unit goal that we're setting out.  A large majority of those are going to be suburban and drive-through locations. That's where their growth potential is, that's where the whitespace is. And candidly, that's where the consumers are.  We will certainly build, and our franchisees will certainly build, CBD locations in those markets. But all you really have to do is kind of look at the largest city markets that we're currently in in Washington and Chicago and New York, and three of the most difficult CBD markets to penetrate, and we've done it and done it successfully. So, the rest of our growth is across the rest of the US as we grow to penetrate the other one. I think that's where our franchisees are going to gravitate first.  We are going to give them additional support in targeted trade area mapping, so that within the shop development agreements and areas that I spoke about in our prepared remarks, once a franchisee partners with us in a certain SDA, we'll provide another layer of support that will literally target the trade areas where they can build their locations with the highest propensity for predictability of success based on what we know about our existing portfolio.  So, turning to your second half of your question about the proceeds, a lot of companies have gone through this. So, it's a complex financial maneuver to refranchise. On the one hand, on the earning statement, if you will, we're obviously giving up the EBITDA that we enjoy off of whatever shops or markets that we refranchise, but the trade on the earnings, of course, is what we gain in the initial franchise fees. For us, that's a $40,000 fee per location as well as the 6% royalties that we charge for being a Potbelly franchisee. And there, depending on the market, depending on the shops, we do expect that there'll be some gains. And that has a benefit not only on the earnings statement, but on our balance sheet as well.  There's a lot of cash moving around in these refranchising deals as well. Because even though we have to amortize those IFFs, we're able to absorb all of that cash at once. And I think it's really important that any franchisees that we're in discussions with understand this that these refranchise deals only happen in partnership with a development agreement. And those development agreements have development area deposits that go with them as well. So, you spread that kind of evenly over the three years that we've discussed we plan to do this work, there definitely will be cash benefit and earnings benefit that goes with it.  We still feel, overall, our balance sheet is really healthy coming out of the pandemic. But we'd like to use those proceeds to start by taking care of some of the debt that we have, and then we can we can look at other areas to invest in our business, so that we can accelerate the growth to get to that 2,000 units even faster.
Operator: Thank you. [Operator Instructions]. Thank you, ladies and gentlemen. It seems there are no further questions at this time. I'll turn the floor back to Mr. Wright for any final comments.
Robert Wright: Well, thank you again everyone for your time today. 2021 was a year of growth and success for Potbelly. And as we enter 2022, I am so excited to execute against our growth-oriented mindset that we have in place. We have a clear vision to increase our shop count fivefold over the long term and we have the right team, the right platform, the right brand and the right plan to deliver that goal.  Potbelly brand is well positioned for tremendous success and we'll continue to focus on and deliver upon our objectives that we discussed here today and drive further value for our shareholders.  Thank you for your interest and your support in Potbelly. Hope you all have a great day.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.